Operator: Greetings, and welcome to the Hall of Fame Resort & Entertainment Company’s Second Quarter 2021 Earnings Conference Call. At this time all participants are in a listen only mode. A question-and-answer session will follow the formal presentation.  As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Anne Graffice, Executive Vice President of Public Affairs. Thank you, please go ahead.
Anne Graffice: Good morning and thank you for joining us for our second quarter 2021 earnings conference call. Our latest press release, supplemental slides, and 10-Q were posted yesterday evening after market hours. These documents can be found in the Investor Relations section of our website at hofreco.com. After this brief introduction, Michael Crawford, our President and CEO will give an overview of the quarter’s results and an update on our fiscal year priorities. Jason Krom, our CFO will then provide detailed analysis of the quarter's financial results and update of our fiscal 2021 outlook. During today’s call, we will make forward-looking statements that reflect the company’s current expectations about future plans and performance. These statements rely on assumptions and estimates and actual results may differ materially due to risks and uncertainties. I encourage you to read the full disclosure concerning forward-looking statements in the earnings press release. Additionally, please note that the company uses non-GAAP results to evaluate performance internally as detailed in the press release. We have posted a supplementary slide deck summarizing the quarterly results. These slides can be accessed on our website as well and will be archived there along with a replay of this call. If you have additional questions after today’s call, please contact me directly. It’s now my pleasure to turn the call over to our President and CEO, Michael Crawford.
Michael Crawford: Thanks Anne. Good morning everybody. I have a few words that I'd like to just start with the first our football is back and it's back very strongly and we're excited about it. Couldn't have been any greater entertainment week for us, we hosted the game of course, between Pittsburgh and Dallas. Just a couple of interesting stats for you. 7.3 million viewers, up 37% from 2019. It was broadcast on Fox the largest viewed game on Fox since 2011. So, two very storied programs coming to live here at Tom Benson Hall of Fame Stadium, at the Hall of Fame Village powered by Johnson Controls, absolutely an electric environment for those of you who watched, I'm sure you would have agreed. And then we went on to Enshrinement and we hosted two Enshrinement classes again I want to congratulate all of the inductees, some fantastic speeches, really compelling, just exciting for the sport of football, but you can tell these gentlemen really want to do great things, both on the field and off the field. They've done them on the field and now it's their turn to have an impact elsewhere as well. And Enshrinement it's events that we broadcast on the NFL Network and on ESPN as well, over two million viewers in aggregate for those events. So why is that important? Well, it gave us a chance to create one of the kinds of experiences for our guests things that you couldn't see in and around campus, VIP tailgate parties, balloon festivals, parades, all the types of things that you would expect to go with big events like we hosted. It gave us significant brand uplift, brand awareness as we welcome tens of thousands of people to our campus, watching these types of events and seeing all the great progress that I'll talk about around construction was really exciting and the commentary that came back to me was it was fantastic to see the progress in some of the buildings that were already coming out of the ground and the things that were going to be able to be present in the future for our guests to experience them. Then lastly, of course, for our shareholders and our company, it generated multiple different types of revenue streams for us that these types of events absolutely are predicated upon. So, a big week something that is hard to replicate, but again, we've had multiple things over the last month, during that week, we also hosted our first co-produced live broadcast with World Chase Tag, the number one show on ESPN2 that day. It has since been reared on ESPN and on a lot of the ESPN social channels. So exciting for our media division to get out of the gate with such a successful opportunity there. Our are Women's Football Alliance Championships, again, very well attended, exciting to be able to play host to women who have played for decades in this sport and franchises that have been around for equally as long. I want to congratulate the Boston Renegades, the Derby City Dynamite and the Nevada Storm. They all won their divisions and the All-Sar game was also really an exciting game to watch. And then lastly, it was a week where we got to ring the bell for the NASDAQ closing. And being listed on the NASDAQ has been an honor. But again, more brand awareness for our company and all the great things that we've been doing across our three business units. We announced a partnership with Esports Entertainment Group. I'll talk about that in just a moment. And we also relaunched our NFT business and I would say we've relaunched it quite successfully. And, I'll talk about that as well. Let me turn to construction because I know there has been questions being asked and a lot of thought being given around construction progress. We're no different than most out there today, as it relates to challenges. Construction labor is challenging logistics, trucking and shipping challenging. And yet our team of project managers and our partners in Turner and Hunt and Royalty Construction Group have all done a very good job contingency planning. And so, we remain on course to finish our center for excellence, some of you may have seen that in the background of all of those live events that I just spoke about. We remain on course to finish that in late Q3. We've continued to tenanting process there. And those tenants are expected to move in and Q4 and start generating revenue out of that facility as well Q4. The fan engagement area at the east end zone complete. So brand new jumbotron, brand new area for fans to enjoy all of the different types of events, sport and non-sport that we have in our stadium and another way to monetize a particular area of that location. We've continued the expansion of our Village youth sports complex. And we've done that for two reasons. One, we want to continue to bring great amenities for those participating in our youth sports. And two, we want to expand our capabilities to hold even larger events. This year we expect to welcome again, hundreds of thousands of participants and fans into this area. So, enhancing that was really important to us. And it's under construction and scheduled to finish in Q2 of next year. I've talked about site work, roadway realignments, all the things that we need to do from a utility point of view that work continues it's necessary for expanding and developing. Just in another week or two, we will be pouring foundations for our Retail Promenade and then our steel arrives for that in late September and we'll start to erect those buildings, which is really, really exciting. And then the last thing I'd say is our center for performance. We have done the site formation work for our center for performance, recall this is our indoor facility that will allow us to expand sport to basketball and volleyball, wrestling, band and cheerleading competitions. But it'll also give us a facility where we can host big events, could be concerts, but it could be other types of festivals, home and garden shows, et cetera, again, expanding upon our business model and creating year-round attendance to the destination, flattening out seasonality. And this work is really progressing still in a very challenged timeframe. I mean, we all understand what COVID is and where it's at with the Delta variant, but we've challenged our team and our team has responded to make sure that we are contingency planning, as I said, but also adjusting for timing, logistics, timing, and making sure that we take advantage of, pricing when we can, and also being pragmatic about when we want to price other items to come in. Our goal is still to finish construction by 2023, with the waterpark being the last destination that will be there simply because of how long that destination takes to create. That leads me into probably one of the most important topics that I'm sure is on everybody's mind. And we spoke about this at the last call, construction loan and timing of a construction loan. Let me start off by saying that construction loan itself, that actual facility is a part of the overall construction financing that we have continued to put in place. We have several term sheets and in fact, signed two of them this week for different types of construction financing not the traditional construction loan in essence, but we're wanting to be very pragmatic about the timing of the facility that we put in place. Construction lending is expensive right now. Again, a tough environment for construction lending as evidenced by some of our peers in different industries, in the leisure tourism industry. And our philosophy is we want to make a good decision versus a quick decision. As I just said, construction is continuing. And if you know about creating destinations, you'll know that the actual construction loan itself is the last piece of the capital structure that gets spent. You start with your equity, you move through the other public and private financing vehicles that you put in place and then into the construction loan. So, while we have still continued a lot of conversations about the actual construction loan itself and those conversations are continuing right now, again, we're going to make the best decision for our shareholders and for our company. And we want a capital structure that is going to be cost-effective. And so we're trying to place multiple pieces of that capital structure in place with different types of construction lending to take full advantage of that. And that in fact, I would say lower cost construction financing so that when you aggregate overall, it's a much more affordable financing tool and vehicle that we have in place. I hope that helps people understand that our goals haven't changed. The goalposts haven't moved, but we are being pragmatic, as I said in quick is not best smart and timing of being – making that decision is really what we're focused on. So as that progresses, we will provide more updates to you on them. The other one that I'm sure is on everybody's mind because I get asked this question a lot. Mike, what about sports betting and where are you with sports betting? Recall that we signed a deal with Esports Entertainment Group. And we did that for two reasons. One, they are the absolute best in Esports gaming, and we always made for our gaming division Esports a priority. We were fortunate with Grant Johnson and his team to sign a deal that we think is going to bring tens of thousands of people to our destination for Esports tournaments. We're building an Esports helix complex. There will be an educational component attached to this. So we feel very good about what Esports and how Esports will be represented in our location But if Esports were to become part of the sports betting gaming environment here in Ohio, if it were to be legalized, we also have a partner that has strong capabilities on the Esports betting front. And so, we stay very closely connected to what I would refer to as the legislators, the key legislators that are forming the bill and that are putting the bill forward for approval. I think we're well positioned as a company and as a destination to achieve our goal of having a license of sports betting license at the appropriate time. I think the target of September is one that's been publicly articulated by the legislators. And so we are continuing our conversations with key sports betting partners in hopes that we will have a sports betting partner in place as that legislation becomes law. This has not changed from the last update that I provided. I'm excited about the conversations we're having. People are excited about Ohio. I should say, companies are excited about Ohio in general and the access to Ohio. And again, as a company, that's at the crossroads between sports and entertainment, I think it makes complete sense for us to be in the sports betting environment and partners, I think are seeing that. And so we're working diligently. Our entire team is on having a partnership in place at the appropriate time. Let me move on to our Q2 overview. And some of the big plays, I would say that we made during Q2. And across all of our business units, we are really focused on creating synergy between the different business verticals that I spoke about deem destination-based assets our Hall of Fame Village Media company, and our gaming division as well. Enshrinement Week is a good example of that. People came, they stayed in our hotel, they hosted big events in our hotel, food and beverage sales were very high, concessions at the stadium, admissions at the stadium, a lot of outside entertainment and hosting, but the synergy between the other things that we had going on, we took advantage of that weekend to host our World Chase Tag. And World Chase Tag, as I mentioned, number one program on ESPN2 and has been re-shown on ESPN platforms. We also took advantage of that platform to launch our next round of NFTs that by the way, are selling quite well into the hundreds with our athletes that we've launched. And I would say product that we've partnered with Dolphin and created and listed on FTX has been absolutely phenomenal, well-received, easily accessed. And so, we think as we listen to our investors through our first launch, we've taken significant steps forward in making this product compelling, accessible, and something that is very collectible in the digital space. In terms of our destination-based assets as you expect, our DoubleTree, the hotel was sold out multiple times during Q2 and over Enshrinement Weekend. ADR is improving quarter-over-quarter, weekend occupancy is improving in line with industry trends and the data is showing that the hotel industry overall is improving and reaching a more normalized state. Of course, you could, you could ask the question about the variant, the impact. We keep a very close eye on that. But as I’ve stated before, we sort of provide the gas to fuel the engine ourselves, our USports program, our concerts, our festivals, things that we're hosting here, Women's Football Alliance Championships, we're filling our own hotel and that generates our own business. And more of that will be coming and I'll talk about that. As we look forward to Q3, we're already pre-wired to have a lot of occupancy in our hotel assets. I talked about the center for excellence on track on time for completion. And in fact, I'm being told slightly under budget, which is a good thing. We feel very good about our ability to project manage these assets. We stay close to the commodities markets, steel and lumber. We believe things are starting to normalize a bit, even though some of the logistics challenges we're having. And then again, hosting numerous events in our Tom Benson Hall of Fame Stadium throughout Q2 multiple more now booked in Q3 and Q4 from small to large. We had a lot of success in our east end zone that we completed. The environment we've created in our stadium really is one of a kind, you feel immersed in whatever event that you're attending between the jumbotron at eastern and our video mesh wall that is still being constructed at our west end on the Constellation Center for Excellence. Retail, we signed partnerships with multiple more groups Starbucks, our Esports Entertainment Group for that Helix location and our retail . And that's in addition to Shula's and Topgolf Swing Suites. And then also in our center for excellence the agreement we signed with NFL Alumni Health to become a attendant there to really do a lot of innovative work in the area of brain trauma. So exciting progress on partnerships as well. From a media perspective, a lot of new things going on. Existing products that we announced last year, we did make announcement that the NFL Alumni Academy is going to come back for a second season, again, programming for our stadium, programming for our media division. We are out now selling that program in partnership with sports illustrated in Studio 101 for the second season. So really looking forward to bringing that Docu Series to life. I talked about World Chase Tag, co-producing that first live event for a media company. I couldn't have been more proud of the team and how that turned out. NFTs, an unplanned business but showing how nimble we could be listening to our investors, launching with greater quantity, slightly different product, and I think it's been very well received. We have six players out there today with multiple NFT digital collectable assets. And our intention is to add more. If you think about the access that we have to the NFL; previous NFL players, the alumni players, our Hall of Famers and the archives in the pro football Hall of Famers, our intention is to create great digital collectable material that our guests will come back to and look at and buy over and over again. INSPIRED is the show that we have begun production on or I should say, we'll begin production on later this year. It will air in 2022. And it really does highlight, I think at the essence were about inspirational stories of NFL players doing great things in their communities, and so another show that our media company is intimately involved with. And then Heisman to Hall, I spoke about last time, the Tim players ever to have been inducted into the pro football Hall of Fame, and also won a Heisman Trophy, more men having walked on the moon than having those two distinctions bestowed upon them. Now funded, going into production, and we hope to have a partnership for distribution on that product in the very near-term as well. And by the way just to mention that is a good example of not only is it a media project, a documentary that we can develop, but it also fuel part of our NFT program with four of those Heisman to Hall players becoming part of the NFT collectible series that we have. Our gaming division, listen if you're – if you're excited about fantasy, you better be excited about our Hall of Fantasy League. I mean, this is a one of a kind league draft happening this Sunday, 5:00 PM starts with the Vegas Pocket Kings, Seattle Hayes, Philadelphia Powder Keg's, New York Bodega Cats, Boston Barflies, LA Psychics, Ohio Goat, Chicago Hogmollies, Texas Y'allers, Atlanta Hot Wings, I mean, if you're not jazzed about those names, those logos, those brands, I mean, come on, these are great, great fantasy football franchises, but more importantly, we announced our Commissioner, Terrell Davis. I could not have more respect for this guy. If you've seen some of his recent communication, I had a chance to talk with him over and try me he is over the moon jazzed about this week. He asked me about his powers and his authority in the league and how he could go those out. I simply said, make it happen. You're our guy. And he is a guy of integrity and a guy who has a lot of desire to make this fantasy league work; going beyond that we announced our front offices. And again, as we always said the tie to us is not just brand, it's professional football expertise and it comes in two forms in our front office. Professional fantasy football expertise with people who have played fantasy and have had great success in fantasy comprising sort of a GM area of our front office and then professional football players who have had great success on the field who have also been excited about the fantasy opportunity. This is a multi-billion dollar industry, and when you look at guys like Joe Thomas or Patrick Chung and Harry Douglas and others that we have put in the front offices, these are guys that have played on the field of battle and know exactly how to think about the guys that are playing today. So they're providing real expertise to those that are already staking teams. I would encourage you as the draft and meeting up to the draft to go and stake a team, our Ohio GOATS team is staked out. But as we continue to stick more teams, we may reopen that, and that's a good sign, that the demand is already there without even knowing the teams because of the faith in the brand and the faith in the front offices, and Terrell Davis as our Commissioner. A lot of credibility around this league, but more importantly I think we're bringing an experience that no one has ever had before. And so even recently, our Commissioner issued a challenge where we're offering sort of a match stake for a certain number of stakers coming into our ecosystem. There is a possibility – a slight possibility I've talked about before, these teams play each other virtually. The league is – as the schedule is out. If you go onto our app that we also launched, you'll see the games in every week and how they're being played. Sports betting could become a part of our ecosystem there as well either this year or next. And I think most importantly, it gives us another opportunity to engage with fans at our destination, potentially hosting live drafts in the future. All that our draft on the 15th will be virtual. We did have our camera crew here and Jeff Eisenberg here capturing a lot of emotion from the players that will be aired during our draft this coming Sunday. So really excited to continue to build our gaming environment with our Hall of Fantasy week. And in Esports, I spoke about this Helix complex that we're going to have. We'll host some of the big tournaments around the country and one of those we're planning on in the near term, sort of after the construction of the facility and the completion of that sort of Q2 next year. Sports betting is still a big part of what we're doing. As I said, we're monitoring and staying diligent around partnerships. And then lastly we added more partner sponsors and we have found a lot of excitement across the different types of sponsorship categories that we have; American Standard, Hendrickson you saw we just announced Anheuser-Busch as well for our music festival and multiple others in the queue that I think are going to add great value to us in terms of our capabilities, our ability to speak to different audiences and also to monetize and bring more revenue to the bottom line. So a lot of things going on. You can certainly look at our two new apps that we launched in partnership with one with Venuetize, our Hall of Fame village app that gives you everything you want to know, all the events, all of the construction progress, updates, and then our Hall of Fantasy League that keeps you going active with our fantasy launch with our draft on the 15th. Let me now just stop and I'll turn it over to Jason to go over our financial results.
Jason Krom: Great, thanks Mike, and good morning, everyone. We filed our second quarter fiscal 2021 Form 10-Q post-market yesterday. That document can be found on the SEC website as well as our Investor Relations site. We also did file a few perspectives supplements last night. I just wanted to take a second to point out that these are not new registration statements, but they're required filings update existing registration statements with information that was contained in our 10-Q Having said that let's cover the company's financial results. Second quarter total revenue was $2.4 million that represents an increase in 39% from the same period last year and 23% sequentially from the first quarter of this year. Revenue growth was primarily driven by the DoubleTree Hotel, as well as the event revenue at the sports complex and Tom Benson Hall of Fame Stadium. The company sponsorship revenue continues to be largely derived from our long-term contracts. Second quarter adjusted EBITDA with a loss of $5.6 million, this was driven by property and hotel operating expenses. These investments are important as we continue to build a solid foundation across all three of our business verticals. We've been disciplined in prioritizing and balancing operating expenses, while we continue to invest in the growth of our company. Net income with a positive $15.5 million for the quarter and that was driven by the accounting treatment of warrant liabilities. Due to the  accounting statement that came out in the second quarter of 2021 will show decreased liabilities and expense if the company's stock price declines. The line items on the financial statements will vary based on the company's stock price. It does not impact our cash flow from operations, our cash and cash equivalents or liquidity for all prior and future periods. Let's move over to the balance sheet where we finished the quarter with a cash balance of about $74 million, this compares to about $69 million at the end of the first quarter. Both of those values are inclusive of our restricted cash balances. The increase in cash was driven by about $15 million received from the June sale of Series B preferred stock in warrants. Our net debt balance was about $104 million is shown in our notes payable. This is compared to $102 million at the end of the first quarter. Now let's transition more specifically to construction financing. As Mike stated earlier, we have signed several terms, sheets for portions with certain assets of Phase 2 construction, and we continue to have frequent conversations to round out the rest of our Phase 2 construction financing. The total anticipated construction spend has not changed. As such we're working to have the optimal portfolio financing, which provides the ideal structure for the company and our shareholders. Working through this process does indeed take time and we continue to work really diligently on this front. We'll provide you with more updates as the financing pieces continue to come together and get finalized. We remained really excited about the rest of 2021 in driving value from the developments that we've announced so far this year. In terms of the overall financials consistent with prior quarters, we're not going to be providing specific financial guidance for this year. Our expectations remain unchanged, and we still expect revenue to increase this year, driven by a few key factors, which include, but are certainly not limited to first the DoubleTree Hotel, which will be operational for full year after opening in November of 2020. The DoubleTree is essentially improved since it opened last November and we would expect this trend to continue. Second, revenue coming from incremental events but the Tom Benson Hall of Fame Stadium, our sports complex and the DoubleTree. This past weekend, we were able to showcase some of our incredible assets on a national stage, and we're working to fully monetize them. Third, we've signed multiple new partnership agreements in the third quarter, and we'll begin generating revenue from those deals. And finally, we'll produce incremental revenue from initiatives like the launch of NFTs and tenanting of the constellations center for excellence at the end of 2021. In terms of EBITDA, consistent with prior communications we expect profitability to be marginally better than 2020. However 2021 will still continue to be an investment year for us. I do want to reiterate that our longer-term goalposts have not moved. By the time construction of Phase 2 is fully complete and operational we continue to target $150 million of annual run rate revenue and approximately $50 million, that's five zero million of annual run rate adjusted EBITDA. This is across our key pillars, which again are destination based assets, our media platforms and our gaming vertical. Revenue and EBITDA generation is expected to be diversified across multiple streams. Each one of them is intended to drive synergies, which support the ecosystem we're working hard to build. As Mike stated earlier, we'll work to drive the traffic and attendance needed to capitalize and achieve these financial targets. Additionally, we view items like eGaming and sports betting is potential upside to our targets, and at the very least it offset any headwinds that may arise. The company's long-term growth file has resonated. This is in part evidenced by increased institutional ownership throughout the first half of 2021. We appreciate all of our shareholders, their support of our company and the competence that they're placing in us as a team to achieve our company's long-term growth objectives. The team continues to execute on our financial priorities that have been communicated. We remain committed to maintaining a balance sheet that provides financial flexibility throughout our growth phase that will ultimately deliver long-term value to every one of our shareholders. With that, I'll turn it back to Mike, who will provide some closing comments.
Michael Crawford: Thanks, Jason. So a couple of key takeaways here. Firstly, we are Resort & Entertainment Company. You've heard me say that before, but the important part of that is we're building momentum across all of our business verticals. So you can tell by the way in which we're progressing in a very difficult environment that partners of high caliber want to partner with us, athletes want to be a part of, how we're creating media and digital collectibles. The events that we're hosting are of the best quality and fans and guests are coming to participate and we are building. This is very real, what we're creating as a destination and it takes time, an interesting statistic that I was given by the department of transportation here. In 2019, on our property we hosted a little over 2 million people. Some of that came for a Pro Football Hall of Fame. Some of that came for our youth sporting events. Our target is to double that over the next few years. 30-plus million vehicles drive by our property on an annual basis, and that's on one road that doesn't include our regional airport, which has just expanded and had a significant renovation. It doesn't include other forms of transportation and so when I talk about the optimism for attendance growth, when you think about those kinds of numbers and the adjacency to tens of millions of people within a two, four or five hour drive radius, I have great confidence that we will be able to achieve our targets as we continue to build these assets. Construction financing is exactly where we want it to be. We are putting the pieces of the capital structure in place so that we can continue to build. Construction's progressing, it has not stopped. It is moving forward and we are being pragmatic about that final loan facility in terms of cost and timing. I know somebody wanted – some people want them to hear me say it's there, it's done, it's in place right now. I promise you that is the main target for us, but at the same time filling in the rest of our cap stack with public and private financing like tax increment finance and tourism development bonding, EME financing, pace financing, all of these different vehicles afford us opportunity to lower the cost of our financing and we have been diligent around as Jason just said, getting term sheets in place, and we look forward to having more of those in the coming weeks. COVID is there, it's still here, but we are making progress and again, focusing on media and our gaming divisions, creating virtual environments and storytelling for our guests to enjoy while they may not be as inclined to go into physical destinations in the near term, although travel is still up and hotel bookings are still up, it's uncertain what we're going to be facing. And as again, as I said before, we're building at a time where this uncertainty is creating some of the – should I or should I not go place this attitude. Once we open, it's our hope that this has gone away, it's been eradicated. And again, what we showed this past weekend was people are starved to be in environments with other like-minded sports fans. The first completely sold out football game in over a year, and it was electric. The environment was absolutely fantastic. So COVID has not slowed us down from making progress. We stay safe, we stay diligent, nothing more important about the safety of our employees and our guests. Over 80% of our employees have been vaccinated. We're encouraging that we're providing them the opportunity to do that. We want to make sure as we welcome guests and sports fans, youth alike that we're creating a safe environment for them. And then lastly the rest of this year as I look at the calendar in Q3 and Q4, the event slate just continues to build; High School Football Championships. We have the division three college football championships. Our music festival that we're hosting here in September, the Black College Football Hall of Fame Classic kicks-off as well in September. A lot of big events showcasing the wonderful new developments that we have going on. And as they come back and they see the progress, the guests come back; they get more excited about return visitation. And that's always been a premise of ours. Build in phases so that you always have something to talk about and something to execute upon, creating excitement for people to want to come back and visit over and over again. That in combination with the programming that we're already developing is really exciting for me as the President and CEO of the company. We are hiring great talent. We're hiring talent that is booking events and revenue. We're hiring talent that is marketing. We're hiring talent that is building a talent for our media division and for our gaming division. And so again, the team we view it as building a dynasty. It takes time, it takes commitment and we're only going to hire the best so that as we bring people in, they can exponentially increase our capabilities to deliver one of a kind experiences for our fans and guests to enjoy. We're executing on the winning plays that we talk about a lot and keeping our eye on the future. I want to thank everybody for your patients. I know you want things to be done faster, so do we, but we want them to be done, right? And we want them to be done to sustain over the very term and to be profitable. So we hope you understand the messaging that we're trying to give to you this morning. And I also want to thank our team. This was an incredible weekend, but we've had an incredible year that this team has stayed focused, stayed dedicated, tirelessly, worked to execute, and I think we've shown good results because of it. I'll stop there and open it up for questions now.
Operator: Thank you.  Our first question is coming from Jack Vander Aarde of Maxim Group. Please go ahead.
Jack Vander Aarde: Great. Good morning guys. Appreciate the quarterly update. Just a couple of questions for me; a through question for Michael on the Hall of Fantasy League with the NFL season right around the corner, and you have these 10 teams that are lined up, front offices are established. You may speak a bit more though on the speaking aspect of the league, which is rather unique to other Fantasy League out there, as well as what the fan engagement kind of aspect is to the league? How the decision making process works and how decisions are made and incorporated between the front office and the actual stakeholders themselves? And then maybe a few follow-ups to that.
Michael Crawford: Yes. Thanks Jack, and good morning to you too. I appreciate you dialing in. Great questions and ones that we're excited about answering, this is a week that is a league, right? You're not selecting an individual team and playing against your buddies or your family in another platform like ESPN or Yahoo. We know that our fantasy participants are going to do those things as well, because there are a lot of fun. We think though that the fan engagement here is going to be at an all time high. If you think about what those leagues are about, it's about giving your buddies, your family a hard time about their trades and their drafts, and what were you thinking? We have a role that we call chief trash-talking officer. So everybody has the ability to post their thoughts, interact with the front offices, give their opinions, share their thoughts in their community. And that's what we're trying to create a community based league where people feel connected to a franchise just very much like the NFL. By the way we're solely merchandise that allows people to go out in public and route and cheer for their teams. I wore my Ohio GOATS hat to the gas station the other day and somebody asked me about what that was and how cool that looked. And I explained it to him and they said they were going to go stake. Staking is a way in which the participants can back a team and also be rewarded if that team wins.  So the league itself, one of the things we're proud of is I think it's 90% of all staking that comes into the league gets returned to the participants either in the form of first place winnings. So if you stake a team for $5 and your team wins, you win 30 bucks. It's six times the winnings. If you stake a team for $5 and your team comes in second, it's 15 bucks, it's three times. And if you come in third, you get your money back. So that's an important point to be made because there are winnings here. We are also anticipating running potential side hustles or bets. I shouldn't use the word bet because it's illegal, but opportunities for people to participate in some fun gaming activity and have the ability to participate from a financial perspective as well. And so there's a lot of things that we're going to roll out. The app is going to enable us, and we're working on the Android version. I know that was a question as well. We have the apple version rolled out and of course our website where everybody is coming in and it comes through our partnership. The staking with State Kings we're running promotions on State Kings with them now the Commissioner's challenge out there. And we intend to have a lot of fan engagement; this should be fun. It should be engaging. It should be teams playing each other on a weekly basis. And really, you know, at the end of the year, the championships games get played and we'll have a lot of engagement along the way that the draft should be incredible as well. I'm excited for that this coming Sunday at 5:00 PM.
Jack Vander Aarde: Awesome. I appreciate the color there. And then just a follow up on the NFT side of the business; maybe can you provide some additional color on your decision process behind the relaunch of the NFTs on this NFTs on this new SPX platform rather than open seat. Hey, just what are some of the factors, the trade-offs you considered? What does this do for you that maybe it's more beneficial than an open seat? Thanks.
Michael Crawford: And again, I should say open seat is a very high quality platform. What we did was listen to – we beta tested there. We listened to the feedback from collectors, from investors. It was clear to us that there were a few things we wanted to, we wanted to make these more accessible, more accessible meaning being able to purchase with credit card, debit card versus cryptocurrency not a lot of the world uses cryptocurrency yet. It's a level of sophistication and purchasing that I think over time will become a much more prolific and you see companies like AMC and others getting into that space. It's interesting to me as well, but we wanted to make accessibility key for our purchasers and we have. FTX offered us an opportunity to create a marketplace for us. It also has a secondary market. We're seeing a lot of the NFTs have already sold by the way in the hundreds, as I mentioned, now being sold on the secondary market as well. And from a financial point of view, not only do we get the revenue from the first sale, but every other sale down the line. And so this was a beta that we tried and we wanted to see how the – how it would work. Again, this is a marketplace that is evolving almost daily and you see everybody sort of dipping their toe into it. And we want to make good decisions that last over a very long period of time. The most important thing is great creative that give people a chance to own a piece of history. In our playbooks if you see them really do – the wonderful thing about it is the voice of the athlete talking about the play that was one of the most important plays to them in their football playing history. We went to them and we said, hey, give us some thoughts around the most defining plays that you can remember. So, these are just things that are made up. These are the plays, when you ask Marcus Allen or Earl Campbell or Tim Brown or Joe Theismann, these are guys saying, I remember that play and it was so impactful. And so we had creative around it and we told the story, they told the story in their voice, which I think makes our product very unique and different. So, it was a lot of things. Again, we're still evolving this. We want to make it easier and easier. We're going to be adding more product to our marketplace. We want to create that secondary market that allows guests to continue to sell and buy and make these things even more collectible. But it's a business that we anticipate growing and growing in a very pragmatic way, but launching with this round was important. And I think we've shown it to be successful.
Jason Krom : And, and Jack, just to jump in too, I just wanted to go back to the Hall Of Fantasy League really, really quick around the staking side. I believe we said first place is six times their invest or their initial stake. Second place is three times, it’s actually two times, and then a third places one time it's just to avoid any confusion.
Michael Crawford: Yes, thanks for that correction.
Jack Vander Aarde: I appreciate the follow-up there. And Mike, I appreciate the color in the NFT side. Maybe just one more quick question from me on kind of your Esports gaming and entertainment plan, you had the Helix Center that you've agreed with Esports Entertainment Group to put it into your village. And that's something, a nice development that's going to be coming 2022. Can you just talk about how your other plans and how this is roped into your overall, your other offerings with Esports and a gaming center? And then obviously you've mentioned the sports betting potential in the future, but just how does this fit into your overall plan and offerings if I'm a guest and I come to the village and I go seeing the DoubleTree hotel and I can go play games at the gaming center that Helix has and it's really intriguing how it all comes together. Be curious to get your thoughts there.
Michael Crawford: Yes. And look, I would say that every time we make a decision in one business unit, we always think about how do we create uplift through the others, right. And so, Esports is a good example of that. There are so many Esport gaming tournaments being live streamed on Twitch and other distribution channels. We absolutely anticipate having the ability to do that through our media company as well. Onsite of course, I referenced a lot, our large USports program. You can imagine these kids coming here and looking for great things to do while they're staying with us playing e-sports is a part of that, right? You could imagine challenges with some of the best to ever play the sport against some of the youth athletes while they are here and having fun tournaments like that, and also maybe becoming a media content for us. And so, we're looking at this as a very synergistic business development opportunity, but again, it drives traffic to the destination. It provides entertainment and it is allows fans to engage with scored and in some cases, in particular football, and it enhances our offerings to our guests here. The other thing that we've spoken about it's on the horizon that we're looking at not there yet, but we're looking at is off-site asset development. And when I think about offsite asset development and sort of mini replications of Hall of Fame, Professional Football Hall of Fame, potentially in NFL cities with memorabilia, food and beverage, e-sports can become a very key component of that. And you're talking about a company in Esports Entertainment Group that has proven to have those capabilities and expanding around the country and running tournaments around the country. So, we're excited to think, if hey we do an offsite asset development strategy they could become a part of that programming as well.
Jack Vander Aarde: Got it. I appreciate the color. That's it for me. I will hop back in the queue. Thanks.
Michael Crawford: Great.
Jason Krom: Thanks Jack. 
Operator: Thank you. At this time, I'd like to turn the floor back over to Ms. Graffice for closing comments.
Anne Graffice: We actually have a few more questions. And so if you'll join us a question came in and asked, what are our thoughts regarding where sports betting legislation currently is in Ohio? And additionally, how beneficial could that be for Hall of Fame Resort & Entertainment Company?
Michael Crawford: Yes, so what I said earlier, we stay very closely connected with key legislators. And if you look at the bill they're presenting, there are multiple different types of licenses that they're offering, a brick-and-mortar license, and mobile license. As we talk with sports betting partners, both partners that have a presence in Ohio today, and those that don't or minimal presence, our ability, we're meeting as the bill is written, our company meets the qualifications to have those licenses. And that's important, right? It's a strategic advantage for us because we're creating economic uplift and job creation. And in a county in the state that is a certain population we have the ability to obtain those licenses. That can be very attractive to a partner looking to gain entry into Ohio or looking to expand their footprint in Ohio. I'm not the legislator. So, all we can do is stay connected to it as we have track it, we have consultants helping us do that as well, and really have meaningful conversations with our potential partners and look for the best opportunity for our company. I think an onsite physical location where guests can come in and join an environment of sports, and enthusiasm and place a bet is something that would be great for us and can drive economics for our destination, our Hall of Fame Village. Potentially mobile has a much broader reach allowing us to drive even greater revenue to our company through that type of partnership and with that license. But what important to remember the number that Jason – the numbers that Jason had quoted 150 and 50 do not include sports betting. So, it either helps mitigate some of the risk that's out there that we have to face in construction, or it helps enhance those numbers. And you have to be determined, which one it is.
Anne Graffice: Another question has come in asking how much revenue and profits you generate from the events and all the happenings Enshrinement Week?
Michael Crawford: So too early to tell, I mean, it's just a few days removed, but I can tell you that for the most part, all of what we generate is predominantly profit. The expense of event is through partnership with the NFL, with the Pro Football Hall of Fame and even The City of Canton. And so, a lot of that is put on by our partners, our concept partners, we benefit through concession sales, admission, sales, direct impact to our hotel, other private events that are being hosted. And so, we anticipate a, good uplift from that size of an event just as we would from a concert or from any other type of event of that scale that we'd be hosting here on property.
Anne Graffice: With that, that will conclude our earnings call for Q2 of 2021. I want to thank on behalf of the company, everyone for joining us and for your continued support of Hall of Fame Resort & Entertainment Company.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's event. You may disconnect your lines or log-off the webcast at this time and have a wonderful day.